Operator: Good day, and welcome to the LuxUrban Hotels 2024 Second Quarter Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Adam Holdsworth, Managing Director of Investor Relations. Please go ahead.
Adam Holdsworth: Thank you, and good afternoon, everyone. Thanks for joining our conference call to discuss LuxUrban Hotels second quarter 2024 financial results and corporate highlights. Leading the call today will be Robert Arigo, Chief Executive Officer, joined by Mike James, Chief Financial Officer. Before we begin, I'd like to remind everyone that, our remarks today maybe contain forward-looking statements based on the current expectations of management, which involve inherent risk and uncertainties that could cause the actual results to differ materially from those indicated, including the risk and uncertainties described in the company's filings. You were cautioned not to place any undue reliance on any forward-looking statements, which speak only as of the date made and may change at any time in the future. Although, we voluntarily do so from time-to-time. The company undertakes no commitment to update or revise forward-looking statements, whether a result of new information, feature events, or otherwise, except they are required by acceptable law. This call also includes references to certain financial measures that are not calculated in accordance with Generally Accepted Accounting Principles or GAAP. We generally refer to these as non-GAAP financial measures. Reconciliations to those non-GAAP financial measures to the most comparable measures calculated and presented in accordance with GAAP are available in the company's quarterly report filed with the SEC. With that, I'm now pleased to turn the call over to Robert Arigo, CEO.
Robert Arigo : Thank you, Adam, and we appreciate everyone who joined our call today. During this call, Mike, our CFO, and I will review the highlights from our second quarter of 2024. Outline our strategy for success through the Lux 2.0 brand and discuss our recent corporate transformation, which includes the addition of new management team composed of hospitality veterans, and a refresh Board of Directors. We look forward to discussing the significant changes we've implemented, as well as providing transparency regarding our current business operations and the necessary adjustments following the previous management team. LuxUrban Hotels leases an entire existing hotels on a long-term basis and rents out hotel rooms with the properties we manage. In 2024, we launched a comprehensive initiative to enhance our company's management and operations, which we refer to as LuxUrban 2.0. This initiative includes the addition of experienced professionals from the hotel and finance sectors to our management team, Board of Directors, and the strategic elimination of the non-performing hotel properties, and targeted efforts to reduce operating overhead, while significant work remains as we navigate the third quarter and prepare for the fourth quarter of 2024, we believe the Lux 2.0 is starting to yield the intended benefits. We currently manage a portfolio of seven hotels in Manhattan, one in Brooklyn, and one in New Orleans, all under long term lease agreements. As of this date of this report, we have a 1,056 hotel rooms available for rent across our portfolio. Over the past nine months, we have strategically reducing our domestic operations and U.S. based portfolio focusing solely on the properties that have the potential to generate positive cash flow. As part of our recent 2.0 transition, we are committed to enhancing our management and operations team by recruiting talented directors and officers with significant experience in the hospitality and financial sectors. I was appointed in June of 2024, bringing over a number of years of -- I'm sorry, three six years of experience in the hotel industry while Michael James joined as Chief Financial Officer in the same month. Bring extensive financial expertise. We are also pleased to welcome Elan Blutinger and Kim Schaefer. Veterans in the hotel and travel technology to our Board of Directors. Our ongoing efforts to strengthen management and our operational expertise across all areas of our company include actively recruiting new personnel and reallocating existing management to areas where the skills can be mostly affected and utilized. With my extensive experience in hotel management and successfully operating a variety of properties, I am confident in the tremendous opportunities that lie ahead for LuxUrban Hotels. Our strategic approach to Lux 2.0 positions us to generate sustainable, positive cash flow moving forward. This quarter presented challenges, including write-offs from the previous management team, but I believe we are at a pivotal inflection point. One significant hurdle we encountered was the decision to pre-sell 40% of our room inventory, which resulted in funds being collected at an average room rate in Q2 of $220.96. However, I am pleased to report that, these advanced sales will expire at the end of 2024. I want to repeat that. These advanced sales will expire at the end of 2024, allowing us to enter 2025 with average room rates projected in the same period, same quarter of $252.11, which is a $31 increase, just within that quarter. We are implementing transformative changes with LuxUrban that will enhance our financial stability and provide a solid foundation for future growth. I am excited about the potential that these initiatives hold for positioning our company as a leader in the market. Now, I will turn the call over to Mike to provide detailed review of the financial results. Mike, please take it from here.
Mike James: Thanks, Rob. As highlighted, the financials for the second quarter reflect write-offs and necessary accounting adjustments to properly reflect the financial position of the company. It's important to note that, the figures we're presenting today pertain to our core properties and operations, which form the foundation of the portfolio. Despite these challenges, we are focused on leveraging our existing assets and driving operational improvements to strengthen our financial outlook moving forward. I look forward to discussing the specific results in detail and sharing how our strategic initiatives are positioning us for success. Net rental revenue for the three months ended June 30, 2024 was $18.2 million as compared to $31.9 million for the three months ended June 30, 2023, a decrease of 43%. The decrease predominantly resulted from the decrease in average units available to rent from 1,625 for the three months ended June 30, 2023, to 1,056 for the three months ended June 30, 2024. This decrease in net rental revenues was exacerbated by booking of guaranteed reservations at relatively low rates for the three months ended June 30, 2024, as compared to the same period during the prior year. The TRevPAR, or revenue per available room, was $257 for the three months ended June 30, 2023 versus $188 for the three months ended June 30, 2024. The lower RevPAR in the current quarter is attributable to the impact of the pre-selling of the rooms at lower rates versus the same period last year, which we are forecasting to increase after the pre-booked guests have stayed at the property. Cost of revenue increased from $21.7 million in the three months ended June 30, 2023 to $40.4 million for the three months ended June 30, 2024, an increase of 86%, primarily as a result of the company expensing the unamortized lease acquisition cost and security deposits surrendered for the properties that were exited during the period, as well as the increase in cost related to utilities, labor, cable, WiFi, credit card processing fees, commissions and cost related to the relocation of guests from our terminated properties to alternative properties. Gross profit decreased $22.2 million in the three months ended June 30, 2024 from $10.2 million in the three months ended June 30, 2023, a decrease of $32.6 million or 318%. The decreases primarily as a result of the company expensing the unauthorized lease acquisition cost and security deposits surrendered for the properties that were exited during the period, as well as deposit, surrenders and commission costs to relocate guests from the terminated properties to alternative properties. Total operating expenses incurred for the three months end of June 30, 2024 decrease approximately $1.2 million from the three months end of June 30, 2023. Of the decrease general and administrative expenses were reduced offset by $600,000 for cost related to the exit of a partnership with Wyndham. Total other expense for the three months ended June 30, 2024 was $185,000, as compared to $29.7 million for the three months ended June 30, 2023. The decrease is primarily due to the lower cash interest and financing costs during the three months end, June 30, 2024, as compared with the three months end, June 30, 2023, as a result of the greenly revenue share transaction. As of June 30, 2024, our cash and cash equivalents for $61 as compared to $752,848 at December 31, 2023, and the total current assets were $3,315,844 at June 30, 2024, as compared to $19,721,057 at June 30 -- at December 31, 2023. The working capital deficit was $62.6 million at June 30, 2024, versus a deficit of $13.4 million at December 31, 2023. We continue to explore capital raising transactions as well as strategic initiatives to improve the company's cash position. Through Lux 2.0 and the recent changes from the previous management team, we are optimistic that our knowledge and strong work ethic alongside our investors and bankers will change the business for the positive as we enter the fourth quarter and into 2025. I'll now pass the call back over to Rob.
Robert Arigo : Thank you, Mike. I'm optimistic about the future of our company, especially in the light of the significant changes we've made to our personnel and the strategic direction. We anticipate that the fourth quarter will yield a positive impact on our overall operating results, particularly as the New York Hotel market typically performs at its strongest during this period. With our focus on optimizing operations, we expect to generate revenues at higher daily average room rates. As we implement our strategy, we are committed to maintaining transparency with our shareholders. We will keep you informed of our progress through regular communications, including press releases and media updates. This is a transformative moment in our company's history and we are excited about the opportunities that lie ahead. With that, I will turn it over to the operator to facilitate questions from the audience.
Operator: [Operator Instructions] And our first question today comes from Jon Old with Long Meadow Investors.
Jon Old: Thank you. Rob and Mike, first thanks for battling through all the tough issues you've had to deal with. Appreciate all your hard work and it feels like, we're close to coming out the other side. So putting all the tough stuff aside, let's look forward to the next year, when all the pre-sold rooms are gone and sort of starting fresh. I know you don't want to give detailed projections, but RevPAR, with a clean slate, feels like it could be in the 300 range maybe and EBITDA margin still 25%-ish, 30%-ish. Just give us some guidance of what a clean fresh year might look like to the extent that you can?
Robert Arigo: Jon -- Mike if I could take this. Jon, I want to thank you for your support. Without the investor support, we wouldn't be Lux 2.0. At this point, I'm going to say this, is, we all know that the pre-sale had a substantial impact on our overall ability to sell. There were times where the rates were being sold at $50 or $100 to $150 below market. We know that, same-store next year, there's going to be substantial RevPAR growth naturally, just in the fact that, our inventory will be released. This is the time, I can say this, our VP of Revenue Management, who is one of the most talented people. He's been in the market 38 years. They're very excited about what's going to happen in Q4 as well as 2025. They have control of the entire inventory, and everyone that sees our portfolio knows we have great hotels and strategic locations. The increase in ADR will be significant. We're also going to realize a year that we're not going to have all these extraordinary changes. We've gone through a complete, repricing, re-segmentation of the hotel. We're also going to be looking at all new segmentations for our properties. We've been an OTA provider, since the beginning of the operations of the company. We are going to be going after the highest segments with the quality of the hotels that we have within New York, and that's the reason why we changed our approach. We wanted to narrow the field, focus on what we're good at and deliver better results. We've gone through some heavy lifting to do that. But with the ADR lift, the demand that we see in New York, the demand in New York is not going to wane, based on what we see. With the migrant housing of over 16,000 keys, the elimination of Airbnb of 44,000 keys, keys in New York are extremely valuable, and we have a great portfolio to start to build from. What's going to be fantastic for us in 2025 for our audience is, we're not going to be riddled by a lot of the legacy challenges we've had in the operations. We have made substantial reductions in labor. We've made tremendous headway with all of our vendors. We are in great standing with the key vendors that are closest to us. What we see in 2025 is a opportunity to show tremendous growth, but naturally, it's not a promise it's going to happen because we've already done the heavy lifting. Now we just need to see the results. Hopefully, I answered your question.
Jon Old: Okay, thanks. But again, so ADR should be -- what would be sort of a market number right now based on comparable hotels and et cetera, et cetera. Like 350, something like that.
Robert Arigo : I think that, we're going to, I feel confident to say we'll be in the low-3s. It's safe to say that, if the market doesn't change dramatically, which, just to say this, we're seeing Q1 numbers that we've never seen before. I've mentioned this to a few other investor reviews, where Q1 historically in New York has always been incredibly soft. What we're seeing now, because of the moderate weather, it's the key factor in Q1. Weather in New York has allowed people to start booking conferences and meetings in Q1 that typically happened out throughout the year, but 80 yards have grown up substantially. We see a tremendous opportunity in Q1 that we've never seen before. The other opportunity that we've seen in the market, hotels have shoulder nights traditionally. They were Thursdays and Sundays. Because of now the new office where many people do not travel the home office Monday or Friday, those Thursdays and those Sundays are becoming great selling nights in the hotel industry, because people are already getting to their location Thursday night and working from that location, same thing on Sunday. They are missing those traditional travel days. We're seeing a flattening out of occupancy, which is great, which allows us to compress and to charge. Q1 on bold on, and I think that we're going to perform well, Q4, just to I see strong ADR growth in Q4. And I'll say this, many of you, the New Yorkers, they know that shopping week. About 10 years ago, became very weak, and over the last three years, it's become again, what it used to be. New York is vibrant. There's a tremendous amount of activity going on entertainment wise, as well as other opportunities in New York. 2000 -- Q4 we'll see, I'm confident saying at least 15% growth in ADR. Maybe it's even 18%, and we'll see that continue all the way through 2025.
Jon Old : Then quick one for Mike. Mike, thanks for, I know it's been tough getting all the queues up to date, given all the issues, but I assume we can expect a cleaner third quarter without as much noise and on time going forward.
Mike James : That's my number one goal, to be on time and to put out a great product. So going forward, that's what we're looking for.
Operator: [Operator Instructions] Our next question comes from Allen Klee with Maxim Group LLC.
Allen Klee : Could you just review for the quarter, what -- how much was what you would characterize as one-time operating expenses?
Mike James : I don't have that right now available, but I could, work that up and get you what that number is.
Allen Klee : Thank you.
Mike James : We also restated Q1 so a bunch of the expenses were in Q1, when you look at the year-to-date numbers there were a bunch of one-time expenses in Q1 as well as in Q2.
Allen Klee : Right. I was just curious for 2Q at this point, but both of them would be helpful. I mean, do you feel like besides the one-time cost, there's other things you'll be doing on the expense side going forward or do you think that, the run rate that you are excluding the one-time costs is you're comfortable with?
Mike James: We've reduced overhead by a few million dollars by cutting back on the labor. Part of it was due to getting rid of the properties and the other part, which rolled into COGS, and then the other part were just other individuals that we lightened up on. We're running a thin lean business. The cost should stay relatively low for quite some time. And then, as we scale to the future, we would add people going forward.
Allen Klee : Thank you. Do you think that, you said you're at nine properties now, do you think that there's more that you'll have to sell or that you feel good about that number?
Mike James: No. We feel good about that number.
Robert Arigo : If I could expand on that, I recently spent a lot of time, within the hotel industry and our products, the hotel leasing product, we're kind of redesigning, who we are to be able to deliver a product that's interesting. I sat in front of a bunch of hotel owners and I said to them, third-party management companies, their success historically is the ability to bill the owner for everything and charge a gross revenue fee of 2% to 3%. We want to design a program that is going forward that is very transparent to the owner as well to us to make sure that we're designing leases that are successful for both parties. With today's economy, there's a lot of hotel owners seeking relief, seeking a new management option. There is a lot of people very interested in our formula, and so we want to make sure the formula is right going forward. That's why we're focusing our efforts in New York. The demand is there, the opportunities are there, but we want to make sure the formula works well there before we look at other bigger markets. But the reality is New York has so many opportunities for us, and the timing couldn't -- we believe the perfect storm is right now to look for the future owners. So we're excited about the future, we really are.
Allen Klee : Thank you. For the property leases that you've gotten out of, what's left in terms of, if there is any of the liability or potential litigation related to that?
Robert Arigo: I mean, we've exited Florida. The reason why the hotels we've exited recently was Florida, LA, and these assets were less than many of them were less than 75 keys. They were not strategic. They were not high performers. The reality is Florida, most of that has been resolved. There'll be some legal costs and some settlement costs, but we don't believe, it's going to be that substantial. Those are things we're working through, but I don't foresee those to be substantially going to change the future financial results of this company. I think many of the owners realize too that, the solution that we were giving them was not designed the right way for them as well. I don't seem to be a hindrance substantially in the future.
Allen Klee : My last question is, I'm looking at the subsequent events section of your 10-Q and it looks like related, tell me if I got this wrong, I did it back of the envelope. You've raised around $10 million net subsequent to quarter end, and then I guess how do we think about, so if that number's right, let me know or in the ballpark. And then, you said that the networking capital deficit is a little over $60 million. How do you feel about kind of those factors?
Robert Arigo : The $10 million is a number for Q3 and we're fighting an uphill battle, just burning off the pre-sold rooms. As of the June quarter, I believe we had about $11.2 million unrealized, unearned revenue on the balance sheet that that'll burn-off. We're burn-off about $2 million a month. As we get towards year end, that will be about $400,000. Right there, we'll take in, let's say $10.8 million. We'll reduce that liability and we're going to continue focusing on getting the company cash flow positive and looking to work that number down quite a bit.
Allen Klee : The unearned revenue that you that'll be cash coming in over the second --
Robert Arigo : No, we've already collected that cash, so that cash has actually been collected and spent. So the number is $11,000,264, so it's been collected and spent as the guests come and stay, that's when we earn it. When the guest shows up, that's when we earn that revenue. From a GAAP accounting standpoint, each month we're burning off, let's say roughly $2 million. And then next year, if everything remains the same, then that $2 million, let's say we still rent those rooms out to the exact same rate. If you're doing same-store sales, then it would be, we would be collecting that cash. But since we're not pre-selling like they were before at the discounts that they were doing, we would expect it to be higher, assuming that the marketplace doesn't change drastically.
Operator: Our last question will come from Mike Wells, Private Investor.
Mike Wells: I was curious how you are going to handle the NASDAQ compliance.
Mike James: I'll take that, Rob. Right now, what we are looking to do is, we will probably do reverse stock split that will get the price of stock above, above the $0.10 level, above the dollar level. Then it's kind of up to us to properly project, how we're turning the business around. We'll be answering questions to the NASDAQ on that. And hopefully the stock will cooperate and we get the market cap above $35 million, which point we'd be in compliance with the NASDAQ at that point.
Mike Wells: Timing?
Mike James: I'm sorry, say it again.
Mike Wells: What's your timing?
Mike James: The timing on that, if we were to file a proxy, that's probably going to be 30 to 45 days out. We have a hearing set with NASDAQ in October, and we'll know a lot after that meeting.
Operator: Thank you. This concludes our question-and-answer session. I would like to turn the conference back over to Robert Arigo for any closing remarks.
Robert Arigo: I would like to say this, during the call, I'm getting so many texts, positive support. I do want to say this, the ownership groups that we've been working with have been exceptional. They see the value of Lux 2.0. They see that in five months, we have taken a company to positive cash flow, rebuild vendor relationships, changed the entire leadership team at the property level as well as the top level, and we brought some of the most talented people in a company that was challenged. Everyone on the team -- I can say this, with absolute confidence and support. Everyone within LuxUrban is excited about the future. They're excited about turning around a company that they know that the formula that we have behind us is really what the economy needs. Hotel owners today are just embattled with cost between third-party management companies, franchise companies and asset managers. They can no longer afford that level. This opportunity for us to do it right. We scaled ourselves down for a reason. We want to make sure that, we are focused, we are forward, and we are strong when we present ourselves to owners. The strength of Mike and I in the last six months working together, he has been an exceptional partner, is being honest and being transparent. That's the formula that we're going to use with owners, and that's what owners have not had historically. They've had third-party management companies hide themselves within their P&L statements. We're opening the book and we're going to make a difference in this real estate market and we are going to be -- when we finish what we do, the formula that we run is how everyone should operate or own their hotels in the future. So it's been a heavy lift for six months, but as they say, it's the heart that makes you great. Lux 2.0 will be great. Q4 will start to show the real results, and I'm excited that the team gets to see it as much as the owners and, of course, never mind the guests of our hotels. We look forward for the future, and we thank everybody for their support. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.